Operator: Greetings, and welcome to the Sidus Space Second Quarter 2025 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce the management team with Sidus Space. Thank you. You may begin.
Adarsh Parekh: Good evening, everyone, and thank you for joining us for Sidus Space's 2025 Second Quarter Earnings Conference Call. Joining us today from the company is Carol Craig, Chairman and Chief Executive Officer; and myself, Adarsh Parekh, Chief Financial Officer. During today's call, we may make certain forward-looking statements. These statements are based on current expectations and assumptions, and as a result, are subject to risks and uncertainties. Many factors could cause actual results to differ materially from the forward-looking statements made on this call. These factors include our ability to estimate operational expenses and liquidity needs, customer demand, supply chain delays, including launch providers and extended sales cycles. For more information about these risks and uncertainties, please refer to the risk factors in the company's filings with the Securities and Exchange Commission, each of which can be found on our website, www.sidusspace.com. Listeners are cautioned not to put any undue reliance on forward-looking statements, and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. At this time, I would like to turn the call over to Carol. Carol, please go ahead.
Carol M. Craig: Thank you, Adarsh. On today's call, I'll start by outlining our key accomplishments for the quarter, along with the strategic direction that continues to guide our growth across government and commercial markets. Following that, Adarsh will provide a detailed overview of our financial results, and I'll return to share our outlook for Q3 and the remainder of the year, including how we plan to build on our momentum. Q2 was a pivotal quarter for Sidus Space as we continue to advance our mission of transforming space access and delivering vertically integrated solutions across hardware, software and data. We remain focused on execution across 3 core growth areas: satellite manufacturing and integration, space-based data and AI services and commercial product lines, including our high-performance onboard computing system, Fortis VPX. At Sidus, we believe we have capabilities and capacity like no other, agility to scale, creativity to innovate and differentiation to create long-term value. We're not just building technology. We're building the foundation to expand across new markets, delivering recurring revenue and leading in an evolving space economy. Additionally, the uniqueness of our capabilities and offerings while maintaining lean operations means that we are one of the few vertically integrated space companies with the ability to design, manufacture and operate space hardware and data platforms entirely in-house. This gives us speed, control and adaptability that few, if any, can match. So to provide you with operational highlights, I want to start with our most recent success on orbit. We completed commissioning of the ADCS system on LizzieSat-3 with cutting-edge autonomous, machine learning-powered onboard GNC software to enable full autonomous pointing and set the stage for solar array deployment and payload activation. This demonstrates the ability of our satellites to accept technological software advancements while on orbit. This also represents a major step toward converting our satellite infrastructure into recurring revenue-generating assets. We're now moving to activate our sensors, which will initiate subscriptions under existing customer agreements. The activation of these technologies will also support additional government and commercial contracts where on-orbit experience, and performance are key differentiators. The successful launch of LizzieSat-3 on March 14 marked our third satellite and another step in building a data-generating micro constellation. Once fully online, LS-3 will expand our ability to deliver near real-time earth observation data, maritime data and onboard AI processing, unlocking a new revenue channel via data-as-a-service offerings to commercial and government users. This transition from development to commercialization is foundational to our 2025 growth strategy. As an update on our other satellites, LizzieSat-1, our inaugural platform, has supported multiple customers, including NASA Stennis with a follow-on contract and have been on orbit for approximately 18 months. Recently, we identified a potential orbital debris- related anomaly and are actively working to reestablish contact. LizzieSat-2 remains in the commissioning phase as we upload new commands to the flight software. And as we refine the capabilities of LizzieSat-3, we plan to integrate those advancements into the flight software for LizzieSat-2 to further enhance performance. As part of our growth strategy, we successfully executed a capital raise this quarter to fund key technology initiatives that we expect will drive long-term value. The proceeds are being deployed towards the accelerated commercialization of our dual-use multi-domain products, scaling our LizzieSat constellation, and expanding development of our proprietary Orlaith AI ecosystem, which I'll share more about a little later. These investments are critical to expanding our recurring revenue base, increasing operational efficiency and solidifying our position as a secure U.S.-based technology provider in a rapidly evolving space and defense landscape. We remain disciplined in how we allocate capital with a clear focus on measurable outcomes and shareholder return. This isn't about funding operations. It's about fueling innovation and converting success into sustainable growth. The diversity of our customer base and the multi-domain applicability of our solutions make this an expected high return deployment of capital. As I mentioned, this quarter's capital raise is driving accelerated growth of our dual-use multi-domain Fortis VPX product line, supporting applications across aerospace, defense, energy, robotics and autonomous systems. Designed for adaptability, Fortis VPX meets the growing demand that we see for modular ruggedized electronics across diverse platforms. We offer 3 scalable tiers. Solo, Flex and Maxima to deliver high-performance computing solutions for mission-critical operations. Solo offers stand-alone SOSA-Aligned VPX cards, like our Sidus Single Board Computer, AI-enabled FeatherEdge and precision, navigation and timing or PNT and GPS modules. This gives customers modular space-efficient solutions that they can build on. Flex is an integrated VPX core system with computing, navigation and power management built in, plus 3 open slots for custom payloads, which balance capability and adaptability. Maxima is our fully loaded operational suite, which combines AI processing, precision navigation, advanced communications and near real-time mission control. The full suite is ready to deploy with room for final customization. A cornerstone of this product line is the Sidus Single Board Computer, a SOSA-Aligned VPX-based edge computing platform. Built for mission-critical environments, this single-board computer supports applications ranging from on-orbit analytics to terrestrial command and control. The precision, navigation and timing model, which incorporates atomic clocks, MCOG, GNSS and IMUs addresses operational challenges in GPS-denied or contested environments. Seamlessly integrating with FeatherEdge and our satellite radios that provides a dual-use plug-and-play command and control solution. With broad cross-sector applications, Fortis VPX creates a scalable, recurring revenue opportunity, positioning it as a key driver of Sidus' top line growth over the next 12 months and beyond. Beyond LEO, our work in GEO support missions and early-stage lunar infrastructure positions Sidus for expanded defense collaboration. As space becomes an increasingly strategic domain, our agility, proven heritage and multi-domain capabilities give us a strong foundation to meet the evolving needs of National Defense and Allied Partners. Recognizing the critical role of lunar communications and sensing, we developed LizzieLunar to address the Moon's unique operational challenges. By expanding our satellite portfolio, we strengthened our competitive position across multiple market segments, leveraging our expertise in satellite design, integration and operations. Our vertical integration allows us to deliver these programs more cost effectively while accessing a broader range of markets. Operationally, we're on track to complete our Mobile Launcher 2 contract this year, unlocking additional milestone payments upon hardware delivery. While the time line has shifted creating year-over-year revenue variability, the program remains a significant contributor to near-term performance. We also fully staffed our in-house mission operations center, enabling 24/7 spacecraft monitoring. While this increased operating costs in the short term, it positions us to generate new revenue streams from LizzieSat operations and third-party contracts, including LEO, commissioning and ongoing satellite management for external customers. As part of our diversified model, we continue expanding our constellation while integrating new solutions that enhance stability and operational capacity with each mission. We're currently manifested to launch 2 more LizzieSat satellites towards the end of 2026. Already in production, these 2 will have more advanced imagers than the previous 3. We will be integrating a software-defined multispectral imager, which allows us to serve multiple industries and customers in a single satellite. So to reiterate, in just over 1 year, Sidus successfully launched 3 3D printed satellites equipped with onboard AI processing to manage data in orbit. Each satellite LizzieSat-1 through LizzieSat-3 was fully designed, engineered, manufactured and owned by Sidus. This rapid deployment schedule enabled iterative improvement with lessons learned from earlier emissions directly incorporated into the subsequent platform. With technology evolving at a pace that surpasses Moore's Law, we're proud to have developed a platform designed to adapt and thrive amid rapid innovation. As we look back, every milestone we've achieved, whether on orbit in manufacturing or through new product sales lays the groundwork for future revenue. The real power of our business model lies in its lean operations, versatility and strategic positioning. At Sidus, innovation is core to our differentiation. We continue to expand our patent portfolio to protect the intellectual property behind our hardware and AI platforms, reinforcing our competitive edge while building long-term enterprise value. We currently have approximately 28 patents approved or pending. And recently, we received a notice of allowance for our modular satellite testing platform, a patent that safeguards the intellectual property behind our adaptable and scalable satellite architecture. This milestone reinforces our vertically integrated model and preserves the flexibility needed to meet evolving mission needs. Our patent portfolio represents more than innovation. We truly believe that a well-established patent portfolio provides significant barriers to entry, ensuring we can protect our proprietary solutions, while enabling strategic partnerships, licensing opportunities and future product development. It also reinforces customer confidence, particularly in highly regulated mission-critical industries where reliability, security and innovation are essential. As geopolitical tensions continue to evolve, the U.S. and its allies are investing heavily in national security space infrastructure, and Sidus is well positioned to play a critical role in that effort. The Department of Defense is focused on building a golden dome of space-based defense capabilities, spanning threat detection, rapid response ISR and resilient communications directly aligns with the strength of our vertically integrated model. Our ability to deliver domestically manufactured hardware, integrate AI-powered sensing capabilities and support rapid deployment cycles uniquely qualifies us to support both prime contractors and direct government initiatives. We've seen increased engagement around mission-enabling technology, particularly in LEO, where our LizzieSat platform serves as both a demonstration asset and a scalable architecture for future national security applications. Another one of exciting developments is the Sidus Orlaith AI ecosystem, which I mentioned previously, a modular pairing of our FeatherEdge hardware and our Cielo software. Orlaith is built for near real-time autonomous decision-making and can be configured for various mission types from maritime situational awareness to terrestrial to airspace to orbital asset monitoring. Its AI/ML algorithms support in-orbit reconfiguration, enhanced anomaly detection and near real-time data processing, creating efficiencies and resilience in even the most extreme environments. And earlier this year, we deployed Orlaith in Asia, strengthening our global AI and analytics reach. As I mentioned, this quarter marked the start of strategic launch of several Sidus developed technologies designed for dual-use applications. Systems engineered not only for space but ruggedized for air, land and maritime environments. Our goal was to bring true multi-domain interoperability to the market beginning in 2025. And we did. This enables customers in many domains to deploy integrated systems across platforms without the need for redesign or reengineering. As we continue to innovate, this next phase in our multi-domain technology road map reflects our commitment to developing breakthrough innovations that not only meet existing requirements but also open the door to entirely new market opportunities. These efforts reinforce our 3 core pillars: technology, AI and space, by expanding our AI-driven solutions and mission-critical space services that address today's operational needs, while anticipating tomorrow's challenges. We're actively bringing our VPX SOSA- Aligned space hardware into full production and commercial deployment in enabling scalable satellite and data architectures that meet the demands of both government and commercial customers. Another example of this evolution is the advancement of our LM FlatSat, a lab-based integration and test bed platform designed for next-generation technology demonstrations. LM provides a flexible environment to validate new systems, accelerate development cycles and derisk future mission configurations, which is vital for our long-term scale-up strategy. These innovations represent a key part of our 2025 road map and reflect our commitment to designing once deploying anywhere, accelerating mission readiness while reducing cost and complexity. Our work with Lonestar Holdings, which plans to deploy purpose-built multi-petabyte data storage space graph continued this quarter. We amended an extended agreement with a total potential contract value of $120 million. And while revenue recognition has not yet begun, this agreement provides strong visibility and underpins confidence in our commercial road map. Additionally, our platforms and products are being used on both Sidus-owned and customer spacecraft, which extends our reach and open the doors to licensing and service revenue models. Looking ahead, our priorities are clear: complete LS-3 commissioning, expand commercialization of LizzieSat-enabled services and secure product orders for our VPX SOSA-Aligned systems. These initiatives mark our transition from technology development to revenue generation with the groundwork laid in the first half of 2025 positioning Sidus for material revenue growth in the second half of the year. We're also tracking opportunities driven by U.S. manufacturing incentives and rising allied defense spending, particularly in Europe. These trends align with our dual-use strategy and our ability to scale rugged multi-domain technologies from our U.S.-based facility. Again, beyond LEO, we are advancing into lunar satellites, leveraging our proven LizzieSat reference design and adapting it for the unique demands of lunar missions, enhanced radios, greater power capacity and high delta-v propulsion. By designing and delivering a versatile lunar satellite bus, we can integrate communication systems, sensors and other mission-critical technologies, serving multiple customers and mission profiles simultaneously. With decades of experience in both LEO and lunar environments, our team understands the operational nuances required for mission success. Our lunar business model mirrors that of our LEO satellites. Once launched, these platforms will deliver data and navigation services to the U.S. government and international partners. In addition to our own missions, we expect to support more commercial customers similar to Lonestar. Few U.S. companies possess the capability to design and build lunar satellites, positioning Sidus as a rare and highly valuable provider. In summary, Sidus is entering the next phase of growth. Our infrastructure is in place, our products are in the market and our partnerships are accelerating. We are not just enabling missions, we're redefining how they are conceived, deployed and executed across every domain.
Adarsh Parekh: Thank you, Carol. At Sidus, we continue to build a scalable, vertically integrated company across space, technology and artificial intelligence. Our focus remains on operational excellence, rapid innovation and delivering cost-effective, high-impact solutions for our customers. Our investments to date have centered on expanding our satellite constellation, advancing innovation and implementing a robust ERP system to support scale and profitability. Momentum from 2024 and the first quarter of 2025 carried into the second quarter of 2025, which reflects both our transition to commercialization of dual use, multi-domain products and the near-term financial impacts of scaling a deep tech space-based enterprise. During the second quarter of 2025, we continued our progress establishing Sidus space as a space mission enabler. Our rich space and defense heritage positions us to take advantage of opportunities across all sectors with a combined focus on commercial space innovations and national defense priorities. Let's review our results starting with the 6 months ended June 30, 2025. Total revenue for the first half of 2025 was approximately $1.5 million compared to $2.0 million in the same period in 2024. While this reflects a decrease of $478,000 or 24%, the change aligns with our strategic shift away from legacy contract work toward higher-value commercial space-based and AI-driven solutions. This repositioning is intentional and expected to generate more sustainable recurring revenue in the future periods. The impact of milestone-based revenue recognition also influenced the year-over-year comparison. Cost of revenue rose to approximately $4.2 million, a 52% increase from $2.7 million in the first half of 2024. Key contributors included a $1.1 million increase in depreciation tied to satellite and software investments, a changing contract mix requiring greater material and labor inputs, ongoing supply chain pressures impacting manufacturing operations. Gross profit for the period was a loss of $2.7 million compared to a loss of $757,000 in the same period last year. This reflects increased depreciation, which is noncash and directly tied to recent investments that position us for future revenue generation. The transition away from legacy high-margin contracts as we focus on long-term value-added offerings, a shift in contract structure, which is expected to yield greater returns in future quarters. Selling, general and administrative or SG&A expenses totaled $8.7 million compared to $6.7 million in the prior year. This $2 million increase supported key growth initiatives, including strategic headcount additions and expanded employee benefits to support scale, equity-based compensation and performance-based bonuses initiated in Q1 2025, increased mission operations expenses to support our growing constellation, infrastructure investments and software tools, depreciation expense and launch rebooking fees as well as payoff of our January 2025 note payable. To provide a broader view of our performance, we also report adjusted EBITDA, a non-GAAP measure we use internally to guide strategic decision-making. Adjusted EBITDA for the first half of 2025 was $8.6 million compared to $5.9 million in the same period last year, reflecting ongoing investment in scaling our platform. The reconciliation table, including interest depreciation, fundraising severance and equity related expenses is included in our Q2 2025 earnings release. For the 3 months ended June 30, 2025, total revenue for Q2 2025 reached $1.3 million, a 36% increase compared to $928,000 in Q2 2024. This growth was primarily due to the timing of fixed price milestone contracts, including projects executed through our related party Craig Technologies. Cost of revenue for the quarter rose to $2.3 million, up 29% from the prior year. This increase reflects a $486,000 increase in satellite and software-related depreciation, higher input costs from more complex contracts, ongoing supply chain cost pressures, a 36% increase in revenue, which inherently drives higher costs. Gross profit for Q2 2025 was a loss of $1 million compared to a loss of about $841,000 in Q2 2024. The increase in gross loss was primarily due to higher depreciation from recently capitalized assets which are essential to future revenue streams, contract mix evolution, reduced contribution from legacy services as we transition to higher margin recurring revenue models. SG&A expenses for the total -- for the quarter totaled $4.3 million, up from $3.1 million in Q2 2024. Key drivers to this increase included strategic headcount growth aligned with our move to higher-value offerings, expanded mission operations for satellite support, increased software infrastructure investment, accrued equity compensation and employee bonuses and higher depreciation expense. Adjusted EBITDA loss for Q2 2025 was $3.9 million or a 24% increase over Q2 2024. The change reflects continued scaling efforts and is supported by full reconciliation details in our Q2 2025 press release. Net loss for the quarter was $5.6 million compared to $4.1 million in the prior year. As noted, this increase is primarily tied to strategic investments in infrastructure, personnel and operational capacity as well as noncash depreciation related to our expanding satellite constellation. Turning to the balance sheet. As of June 30, 2025, Sidus had $3.6 million in cash compared to $1.4 million as of June 30, 2024. Shortly after the close of Q2 2025, Sidus completed a public offering of 7.1 million shares of Class A common stock at a public offering price of $1.05 per share, for which we realized approximately $6.7 million of net proceeds. As we move forward, we continue to manage cash conservatively while making strategic investments in our next-generation satellite builds and high-growth product lines. We are also actively pursuing further cost optimizations and operating efficiencies to support long-term profitability. With that, I'll hand the call back to Carol for closing remarks.
Carol M. Craig: Thanks, Adarsh. The milestones we achieved this quarter are more than operational wins. They create pathways to future revenue across commercial, civil and defense markets. Each satellite launch, hardware delivery and AI demonstration strengthens our track record and reinforces Sidus as a trusted partner for critical missions. Sustaining that momentum requires constant innovation, which is why we continue to invest in internal R&D, advance new technologies and grow our patent portfolio to protect our IP and increase the value of our platform. Our presence now spans the full spectrum of space from LEO to GEO to lunar missions, expanding our relevance and reach, whether hosting government payload in orbit enabling edge AI for real-time data delivery or contributing to long-term lunar infrastructure, we're building a presence that touches every layer of the evolving space economy. This from Sidus Space diversification strategy reduces reliance on any single market segment and essential to driving long-term sustainable growth. Our mission remains the same: deliver reliable, scalable and intelligent solutions from initial design through deployment. Our vertically integrated model and culture of innovation gives us a strategic advantage, allowing us to innovate faster, control quality across the life cycle and bring advanced technologies to market more efficiently than traditional aerospace providers. As you've heard today, Sidus is at a pivotal inflection point, shifting from R&D and infrastructure build-out to commercialization and revenue generation. We've launched and began commissioning our third satellite, established the foundation for scalable micro constellation and introduced a new generation of rugged dual-use technologies. Lean operations allow us to operate with lower fixed costs, competitive prices and pursue strategically valuable contracts that may be overlooked by larger players. And while we do not expect to turn a profit in 2025, we're building meaningful momentum and a stronger foundation for the future. We've strengthened our balance sheet, launched high potential new platforms like Orlaith and Fortis VPX and are positioned to generate diversified revenue in the second half of the year. The path forward is ambitious, but it's the right one for unlocking sustainable growth. Our multi-domain, multi-revenue model enables us to adapt quickly, serve diverse customers and scale with demand. So in closing, I want to thank our employees, partners and our shareholders for your continued trust and support. We look forward to delivering strong progress in the months ahead. Thank you.
Operator: With that, this does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.